Operator: Good day, ladies and gentlemen, and welcome to the Cree Incorporated Third Quarter 2018 Earnings Call. At this time, all participants are in a listen-only mode. [Operator Instructions] Later, we will conduct a question-and-answer session and instructions will follow at that time. I'd now like to introduce your host for today's conference, Mr. Raiford Garrabrant, Director of Investor Relations. Sir, please go ahead.
Raiford Garrabrant: Thank you, Liz, and good afternoon. Welcome to Cree’s third quarter fiscal 2018 conference call. Today, Gregg Lowe, our CEO and Mike McDevitt, our CFO, will report on our results for the third quarter of fiscal year 2018. Please note that we will be presenting non-GAAP financial results during today’s call and a reconciliation to the corresponding GAAP measures is in our press release and posted in the Investor Relations section of our website. Today’s presentations include forward-looking statements about our business outlook, and we may make other forward-looking statements during the call. Such forward-looking statements are subject to numerous risks and uncertainties. Our press release today and the SEC filings noted in the release, mention important factors that could cause actual results to differ materially. During the Q&A session, we ask that analysts limit themselves to one question and one followup so that each participant has the opportunity to ask a question within our allotted time of one hour. If you have additional questions, please contact us after the call. Now, I’d like to turn the call over to Gregg.
Gregg Lowe: Thanks, Raiford and good afternoon, everyone. For today's call, I'll briefly discuss our financial results, after which Mike will provide more detail regarding Q3 and our Q4 outlook. After that, I'll provide a quick recap of the strategic plan we presented at our Investor Day in February along with some color on how each business is performing against that plan. Our results for Q3 were an initial step in the right direction as we execute on our strategy. Revenues and gross margins were at the top end of our range and EPS exceeded the top end of our range, with each business showing progress versus our targets. While we're in the very early stages of our new strategic plan, it is encouraging to see the three businesses coming out of the gates with positive momentum. I'll now turn the call over to Mike to provide more details on the quarterly results and the outlook for next quarter.
Mike McDevitt: Thank you, Gregg. I will be providing commentary on our financial statements on a non-GAAP basis which is consistent with how management measures Cree's results internally. However, non-GAAP results are not in accordance with GAAP and may not be comparable to non-GAAP information provided by other companies. Non-GAAP information should be considered a supplement to and not a substitute for financial statements prepared in accordance with GAAP. A reconciliation of the non-GAAP information to the corresponding GAAP measures for all periods mentioned on this call is posted on our website or provided in our press release along with historical summary of other key metrics. For the third quarter of fiscal 2018, revenue decreased 3% sequentially and increased 4% year-over-year to $356 million and non-GAAP earnings were $4 million or $0.04 per share, all of which exceeded our targeted ranges and First Call consensus. These Q3 results include less than a month's activities from the Infineon RF Power business we acquired on March 06, 2018. Excluding the acquired RF Power business our fiscal 2018 third quarter revenues were $352 million which was at the upper end of our target range and above First Call consensus. Non-GAAP earnings remained at $4 million or $0.04 per share exceeding our targets and First Call consensus. On February 26, 2018 we announced our long range business strategy. As part of this transformation plan we adjusted the outlook of our Lighting Products segment to be focused on fixing the business and providing modest growth. We considered this a triggering event and therefore performed an impairment test on our Lighting Products segment in connection with the financial close of our fiscal 2018 third quarter. From this testing, we concluded that the fair value of our Lighting Products segment was less than its carrying value which resulted in a $247.5 million goodwill impairment charge taken in the third quarter. This is the largest driver in our GAAP loss of $241 million or $2.40 per share for the third quarter of fiscal 2018. Overall, our non-GAAP earnings exclude $244 million of expense net of tax or $2.44 per diluted share from our Lighting Products segment goodwill impairment, our Lextar investment fair value decrease, non-cash stock based compensation, acquired intangibles amortization, the RF Power acquisition transaction, and transition costs and other items. Fiscal 2018 third quarter revenue and non-GAAP gross profit for our reportable segments were as follows. Wolfspeed revenue grew 16% sequentially and 46% year-over-year to $83 million and was above our targeted range. Organic growth was 10% sequentially and 38% year-over-year and above our targeted range due to better than anticipated factory execution. Our team has done a great job of beginning to bring new capacity online during the quarter and managing the expansion ramp which yielded gross profit growth of 15% sequentially and 49% year-over-year to $39 million for a 48% gross margin which was above our target. LED Products revenue declined 6% sequentially and increased 9% year-over-year to $43 million exceeding the upper end of our targeted range due to strong demand in high power general lighting, video screen and specialty lighting applications. Gross profit was down 2% sequentially and up 17% year-over-year at $38 million for 26.4% gross margin, a 110 basis point sequential increase. The gross profit and margin increase was primarily due to strong demand for our products and a more favorable product mix. Lighting Products revenue was down 10% sequentially at $131 million which was in line with our targeted range. Gross profit increased 9% sequentially to $25 million for 19.1% gross margin a 320 basis point sequential increase. The gross profit margin increases were primarily due to lower warranty related cost and incremental factory improvements. Non-allocated costs totaled $1 million for the third quarter of fiscal 2018 and are included to reconcile to $101 million non-GAAP gross profit for 28.3% gross margin that was at the upper end of our 28% plus or minus target. Non-GAAP operating expenses for Q3 were $97 million and slightly lower than our target primarily due to lower R&D which is timing related. Our non-GAAP operating income was $4 million which exceeded the upper end of our target and First Call consensus. Our non-GAAP tax rate was 7% as targeted. We ended the quarter with $401 million in cash and investments and had $316 million borrowed on our line of credit. On March 06, 2018 we spent $427 million to acquire certain assets of the Infineon RF Power business that is reported as part of our Wolfspeed segment. During the third quarter cash from operations was $20 million and capital expenditures were $46 million including patents which resulted in negative free cash flow of $26 million that was in line with our target. Additionally we received $16 million from the exercise of employee stock options in the quarter. our carrying capital allocation priorities remained focused on expanding capacity in our Wolfspeed business as demand for these products exceed our current ability to supply. In fiscal 2018 we target capital spending of $190 million plus or minus primarily driven by expanding Wolfspeed's production capacity to support forecasted customer demand. While our efforts to increase capacity are in line with plan, the current cash outflow forecast is lower than previously announced due solely to timing. Overall we target fiscal 2018 free cash flow being a negative $15 plus or minus. As mentioned previously, the negative free cash flow is due to accelerating the Wolfspeed capacity investments to support the substantial growth opportunity forecasted over the next several years. We are on target with our plan to double wafer capacity for external materials customers by the end of calendar 2018. We are also on target with our additional Power and RF device capacities start coming online in fiscal Q4. This plan is intended to double our power device capacity by the end of calendar 2018 from where we exited fiscal 2017. As we ramp this new capacity we anticipate we could have some variability in our initial production yields and factory utilization that may reduce our near term Wolfspeed gross margins. Days sales outstanding decreased a day from December to 36 days at the end of March. Inventory days on hand increased to 109 days at the end of March as inventory increased $37 million to $310 million, $26 million of this increase relates to the RF Power inventories acquired inclusive of a $5 million preliminary purchase accounting basis step up. The remainder of the inventory increase is primarily Wolfspeed work in process to support business growth and lighting finished products goods. We target Q4 ending inventories at less than 100 days which is within our inventory target range of 90 to 100 days. Q4 total company backlog is tracking ahead of this point last quarter and Q4 last year. We target Q4 company revenue in a range of $390 million to $410 million based on the following segment trends. Wolfspeed revenue up 27% plus or minus sequentially based on strong organic growth and having the RF Power acquisition included for the full quarter; LED revenue up 7% plus or minus sequentially due to solid growth in high power LED components, with modest growth in our mid power JV components; lighting revenue up 9% plus or minus sequentially back to Q2 levels as we come out of a seasonally slow Q3. We target Wolfspeed revenue and gross profit to grow sequentially despite the impact of the recent export ban on Chinese technology company ZTE. Due to the current ZTE export ban we now target the non-GAAP earnings of the acquired business to be dilutive by $0.01 per share over the next several quarters. Additionally, we have inventory that is custom made for ZTE which could become unsellable at some point. In the future if we determine the inventory has become impaired, we would need to record a one-time charge equal to approximately $0.01 kper share. Despite the near term impact of the export ban, we remain confident that the long term strategic benefit is still intact for this acquisition. We target Cree's consolidated Q4 non-GAAP gross margins to be 29.7% plus or minus. The sequential improvement is primarily due to Wolfspeed being a higher portion of the total revenue mix. Wolfspeed margins are targeted sequentially lower as the RF Power business just acquired has lower margins than rest of our Wolfspeed portfolio and we had lower near-term RF Power factory loading due to the ZTE export ban. Sequentially we target incremental lighting margin improvement and similar LED margins. During Q4 we are implementing a plan to right size our Lighting Products resources to align with our business strategy. We target incurring a $7 million plus or minus GAAP restructuring charge as part of this effort that will be excluded from our non-GAAP targets. The restructuring plan is aimed to be fully implemented before the end of the September 2018 quarter after which we target fully realizing $15 million in annual operating expense reductions. We are targeting Q4 non-GAAP operating expenses to be 27.5% of revenue plus or minus which is similar to Q3. Our operating expense target includes the full quarter spend of our RF Power acquired business incremental spend related to Wolfspeed R&D, IP illegal cost, semiconductor sales team additions, trade show cost and the higher bearable cost related to higher sales which are partially offset by slightly lower lighting OpEx as we begin to implement our rightsizing initiatives. We target Q4 non-GAAP operating profit to be between $7 million to $11 million. Q4 invested cash and revolver borrowings are targeted to be at similar levels to where we exited Q3 and as a result we target net interest to be an expense of $1.5 million plus or minus. We target a 7% Q4 non-GAAP effective tax rate and Q4 non-GAAP net income to be between $5 million to $9 million or $0.05 to $0.09 per diluted share. Our non-GAAP EPS target excludes acquired intangibles amortization, non-cash stock based compensation, acquired business transaction and integration costs, the Lighting restructuring charge and other items. Our GAAP and non-GAAP targets do not include any potential reserve for the ZTE specific inventory. Additionally, our Q4 GAAP targets outlined in our earnings press release include $5 million plus or minus of RF Power acquisition integration costs and $5 million plus or minus in amortization of the acquired inventory bases step up. These costs are excluded from our non-GAAP targets. Lastly, like many global manufacturers we are monitoring the Office of the United States Trade Representatives, noticing Request for Public Comment published in April 2018 on the potential tariffs on certain goods imported from China, including certain of our LEDs. At this point, we are working to fully understand the potential impact on our customers, our suppliers, our business and to determine our response within the USTR's published timeframe. Our Q4 GAAP and non-GAAP targets do not include any impact from a potential Chinese LED tariff. Our Q4 targets are based on several factors that could vary including overall demand, product mix, factory execution and a competitive environment. I'll now turn the discussion back to Gregg.
Gregg Lowe: Thanks Mike. Q3 was a busy one for us as we completed our strategic review process, held an Investor Day to present the transformation plan, signed a supply agreement in excess of $100 million for silicon carbide materials and acquired the Infineon RF Power business. From a strategic perspective, our Wolfspeed silicon carbide materials, power and GaN RF businesses are the primary growth drivers of the company. Wolfspeed's performance in Q3 illustrates the tremendous potential of the business with organic revenues increasing nearly 40% year-on-year and gross margins increasing almost 100 basis points. The team is working hard ramping new production to meet growing demand and engineering and production teams are working together to quickly resolve challenges associated with rapid production expansion. The demand signals for Wolfspeed remained strong with the adoption rate of electric vehicles, the increasing use of silicon carbide and GaN technologies in communications, solar and industrial markets received substantial opportunity for the coming decade. We are also excited to have acquired Infineon's RF Power business during the quarter which will expand our leadership in RF to increase scale, a broader product offering and additional domain expertise. We are still in the early stages of the integration process, but the management team and the employees are committed to making this a success. Now while the sales restriction with ZTE is creating some short term headwinds in this business it doesn’t change the long term strategic benefit of this acquisition. For LED Products we concluded from the strategic review process that the business could drive value through greater focus. We have an incredible brand, a great channel, and a tremendous amount of IP positioning us as a leader in high power technology. Going forward, we're going to take those capabilities and focus them in areas like automotive lighting and application optimize solutions that are stickier and have an opportunity for us to create more value, enabling us to deliver modest revenue growth and gross margin expansion and resulting in great free cash flow generation. In Q3 the business performed well against these goals with both revenue and gross margin increasing year-over-year. This was driven by solid end demand and good factory execution as we reallocate some manufacturing capacity from LEDs to Wolfspeed. Moving on to Lighting, the single objective coming out of the strategic review process was to fix the business. We've made significant changes to our design and product release methodologies resulting in great initial revenue traction on new products and lower warranty claims. We've also improved relationships with our channel and distribution partners giving us a larger footprint and a better customer facing presence. In Q3 the hard work of the past year has started to pay off and while it's still early, it feels like the business is turning the corner. Gross margins improved more than 300 basis points quarter-over-quarter and we target higher revenue and additional margin improvement in Q4. This is being driven by a combination of factors; continued improvements in quality, better channel engagements, and increasing demand for our new products. The company's new strategic plan will create a pretty significant transformation. Wolfspeed, our smallest and most profitable business today will become our largest and most profitable business over the timeframe of the long-range plan, roughly quadrupling in revenue by 2022. Our LED business will see modest growth by focusing on stickier segments and our Lighting business will also see modest growth from where we're at today with a focus on improving quality and margins. This companywide mix shift, combined with some efficiency improvements, will enable us to drive significant growth in gross margins about 1500 basis points of improvement to around 40% establishing a 40/20/20 business model, 40% gross margins, 20% OpEx, and 20% operating margins. To help facilitate this model, we've made some organizational changes. Our semiconductor manufacturing assets which were split between the Wolfspeed operation and LED have been combined under one leader. Rick McFarland, who has been with Cree for seven years and has extensive experience from Freescale before that, will be running the combined operations. Putting them under one leader will give us an enormous opportunity for efficiency improvements, yield improvements, and equally important, will allow us to capitalize on the fungibility of those asset as we shift towards our higher-margin type opportunities. We've also combined our sales team in the Wolfspeed and LED semiconductor organizations under the leadership of Thomas Wessel. Thomas has tremendous experience in the semiconductor industry working for many years at Texas Instruments and more recently as the Global Sales and Marketing lead for Analog Devices. He brings to Cree a significant amount of experience in automotive, communications, industrial and distribution. All-in-all, we still have a lot of work to do and the progress won't happen in a straight line. Fixing the lighting business, focusing the LED business and substantially growing Wolfspeed will require tremendous execution in the face of multiple challenges. Q3 is a good first step and we're committed to executing the new strategic plan going forward. With that, I'd like to turn it back over to the operator so we can take any questions you might have.
Operator: [Operator Instructions] Our first question comes from the line of Joe Osha with JMP Securities. Your line is now open.
Joseph Osha: Thank you and hello, my complements. On the – looking at the silicon carbide business I'm wondering what kind of lead times you have for tools at this point if you were to decide that you wanted to add even more capacity for example, how long would it take for that to filter through the process? Thank you.
Gregg Lowe: We are – we're in the midst of ramping that, the silicon growth capability right now, doubling that capacity by the year end and that is going exceptionally well. The one thing Joe, just to remind everybody, you know, it's not like we can go down the street and buy the tools. A lot of these tools are kind of we're getting piece parts and we build them basically ourselves. So it's a very proprietary process. And there is some limit in terms of the speed of brining these things up online. We're c currently on track right now to continue to grow the capacity as planned and we're anticipating that we'll continue growing that capacity next year. In terms of lead time, Mike you want to add a couple?
Mike McDevitt: Yes, so it depends on the full set, but effectively we've factored that into our buying and as Gregg was saying, to some extent we customize a bunch of stuff when it comes in and then there is the bandwidth of the team that's getting it up and operational, so - but there are some toolsets that take anywhere from 9 to 12 months to get in.
Joseph Osha: Thank you and just as a quick followup Mike for you, would you, where you planning on sharing some of the divisional gross margin contributions to that 40% number that we heard about?
Mike McDevitt: For the long range goals?
Joseph Osha: That's correct.
Mike McDevitt: Yes, our intent is to continue, like we lined out at the Investor Day is that Wolfspeed would be the margin leader and that would be approximating over the long haul call it in the 50 percent range and then both the Lighting and the LED businesses would be in the low 30s.
Operator: Our next question comes from the line of Brian Lee with Goldman Sachs. Your line is now open.
Brian Lee: Hey guys, thanks for taking the questions. First one was just on the Infineon acquisition. I appreciate you breaking out what was organic and nonorganic in Q3, just wondering can you give us a sense for the revenue contribution you are expecting for Infineon in Q4. It just seems like you were implying about $30 million dollars full quarter contribution based on the run rate you guys described at the time of acquisition, but maybe there is some seasonality or timing issues. If Wolfspeed is set to grow organically into fiscal Q4 it would imply the Infineon pickup is doing a much lower run rate than that. So wondering how we could reconcile? Thanks.
Gregg Lowe: Yes Brian, I'll start off and then Mike will give you a little bit more detail. The biggest impact is the impact of the restriction of selling to ZTE. We normally don't break out customer percentages specifically, but I think in this case it probably is helpful. So ZTE was a large customer approximately 20% of the revenue from the Infineon Power business, so obviously not being able to ship to them created a headwind.
Mike McDevitt: And when we announced the acquisition we talked about anticipating or targeting $115 million annual revenues, but it wasn't a flatline. So to get to the $30 million you basically have to divide by four and it was going to ramp up. So if you think of it starting out lower and then building over time is how people should model that.
Brian Lee: Okay, all right, that's helpful. I'll followup offline with some follow-ups there. Just on the margins quickly Mike, the consolidated margins at 29/7 I suppose is the LED flat and Wolfspeed down a snitch, it would imply lighting is going to be up another probably 300 basis points sequentially, is that kind of a fair math or is there something that maybe I am missing in the margin walk? Thank you.
Mike McDevitt: Yes, what we would be kind targeting is a couple 100 basis point improvement sequentially on Lighting.
Operator: Our next question comes from the line of Paul Coster with JPMorgan. Your line is now open.
Paul Coster: Yes thanks for taking my question. Mike, you mentioned the product mix might weigh on the Wolfspeed margins, but I may have confused that with the ZTE comments. Is it one and the same?
Mike McDevitt: So, two pieces to it. So the first part is the RF Power business that we bought is component packaging, so it has lower systemic margin than our broader Wolfspeed portfolio, but still accretive to Cree overall. And so that's one part of it and then the second part is we do have some factory unloading just with not being able to make and ship ZTE parts.
Paul Coster: Okay and then a quick followup, the largest EV market in the world will probably be China right, at least unit volume wise and I'm wondering are you already selling into that market you know trade relationships and how does this tried just few plan for that? Thank you.
Raiford Garrabrant: Hey, Paul it's Raiford, yes we're selling into the EV market around the world and we don't break out the number of design wins we have here or there, but we've seen generally speaking an acceleration and activity from design wins to road map discussions, capacity discussions with OEMs and tier ones around the world and would like to continue to assess with what the U.S. TR is doing and fully understand the potential impact of our customers, but that said, we believe the intent is not to punish U.S. companies and hope we get a decision that doesn't hurt Cree.
Operator: Our next question comes from the line of Jeff Osborne with Cowen. Your line is now open.
Jeff Osborne: Yes, good afternoon. Just two quick ones on the acquired Infineon business, I was curious if you could share just roughly what percentage of the packages you're making are silicon based versus silicon carbide and then as you move to more silicon carbide over time which I assume is the strategy and using your own materials would have in some margins as that progresses? And then the other question…?
Gregg Lowe: Yes, I would say most of the business is traditional silicon LDMOS technology today and we certainly bought it with the intent to capitalize on our position with gallium nitride. So obviously we will be transitioning that business based on the demand for more bandwidth at 4G and then the near necessity for gallium nitride with five G base station. So we would anticipate that that business would migrate from predominantly an LDMOS silicon based capability to a predominately GaN based capability. As we and we certainly anticipate that we'd be able to make gross margins go up as we make that transition.
Jeff Osborne: Got it and is there any thought in and possibly giving some context as to the mix within Wolfspeed as it relates to materials RF and Power is there is there any color that you can provide on that?
Mike McDevitt: I think at this time we're not contemplating breaking it out that specifically. We think it's better and more representative just to talk about the overall haul of the business.
Operator: Our next question comes from line of Harsh Kumar with Piper Jaffray. Your line is now open.
Harsh Kumar: Yes, hey guys. Congratulations on the strong results. Gregg, I was curious off the market you mention for silicon carbide which one do you see as the fastest grower in the near to midterm and then I have a follow up?
Gregg Lowe: Well, I think certainly mid-to-long term the largest market is for sure the electric vehicle market. It's got a huge amount of potential. I would also say that even in the near term that's driving a lot of the activity as well. Just the efficiency improvements that you get, the power density and capability that you get really aligns nicely with what people are looking for in terms of electric vehicle. It helps car manufacturers either reduce the amount of batteries they use for a certain amount of range or increase the amount of range they get for certain amount of battery. And so and those are those are things that are high on the list of people buying an electric vehicle. So I think that's really the driver. The good news is that we've got a lot other sort of lines in the water if you will and we've got a lot of interest in solar and industrial and so forth and so with the new sales team coming onboard, trying to expand that footprint is an additional objective we have.
Harsh Kumar: And then Gregg for my follow up, I'm not sure if you mentioned, but the $15 million OpEx reduction in Lighting when do you complete that and when can we start to think of modeling that into our models?
Gregg Lowe: So we're rolling out that plan as we speak, so we expect to have it fully implemented within the September 2018 quarter, so our Q1 of our fiscal '19 and then coming out of that quarter is when you can expect that we have had that fully baked in. I guess the only thing I'd like to put out there for the long models is some of those savings we may choose to reinvest into Wolfspeed and funneling that growth as well so…
Operator: Our next question comes from the line of Edwin Mok with Needham. Your line is now open.
Edwin Mok: Hey guys. Thanks for taking my question. Congrats for a good quarter. So the first question I have on the, I guess on the competition side on the silicon carbide material market, given the growing demand and you guys have added capacity, have you seen your competitor add any capacity and some of those device manufacturers actually was at the wafering capacity, have you seen of those captive guys also adding capacities?
Gregg Lowe: Well I’ll start with may be wafer and can add a few comments and so forth. There is a tremendous amount of demand and we're certainly engaged with a lot of customers at this point. And what I would say is, the customers are pretty impressed when they come on campus and they see a whole bunch of cranes around here expanding the capacity and they also see that we've got a tremendous technology base. Our ability to ramp this capacity so far has been demonstrated to be very, very solid. The $100 million, the greater than $100 million supply agreement that we inked last quarter I think is a good indication of that. And what I would tell you is, the amount of discussions that we're having right now relative to how do our customers get more capacity and how do they secure more capacity, the amount of those discussions has simply increased over the period of time.
Mike McDevitt: Yes and to Gregg’s point based on data we can track from others in the market clearly others are adding some capacity as well, but I think we're starting off with the scale lead relative to where others are both in terms of what we sell externally and make internally and then the rate at which we're adding capacity is what's leading to customers wanting to enter into large long term supply agreements with us.
Edwin Mok: Okay, great that’s helpful clarifying that. And then I guess on the Infineon acquisition, I just, call it longer term question I guess, now that you guys bought the business you have some deals or have better insight into how the packaging facility is working right? Is there a way to kind of think about how much that will benefit your margins long term in terms of driving or improving your margins now that you’re patching in-house and do you see a need long term to invest in that capacity to increase packaging facility to support your business growth?
Gregg Lowe: So a couple of things, I would say that we're now two months into owning this operation, so we're kind of at the early stage. It's a great team. It's a great leadership team. It's an incredible engineering workforce. It's great operations team. So we're really excited about that. The factory they have is highly automated factory. At this point it's underutilized and obviously the ZTE situation hurts that. So we certainly have an ability to grow that capacity. I think in terms of margin, as we transition the business from a silicon LDMOS to more of a gallium nitride or GaN business it will certainly be incremental, it will be increases in gross margin and it will certainly be substantially accretive to Cree’s overall business. So we feel real good about that. We also see that, those are, we've got a nice growth trajectory ahead of us that is the demand for bandwidth continues to be high and the transition towards 5G being sort of GaN is kind of in the sweetspot of that transition. So overall I feel really good about it. I mean, it's a bummer. We started off the same with a ban on selling to one of our bigger customers. I think that's certainly a short term headwind, but like I said it doesn't change the strategic rationale around what we're doing and we're really excited about the potential.
Mike McDevitt: Yes, all I would add Edwin is just it doesn't change our long range model is that it's actually in support of the 40/20/20 model.
Operator: Our next question comes from the line of Daniel Baksht with KeyBanc Capital. Your line is now open.
Daniel Baksht: Hi, thanks. Could you talk about how you're targeting a sequential improvement in LED products for both revenue and gross margin in light of some reallocate this capacity to Wolfspeed, is the growth mix related or JV related? Thanks.
Gregg Lowe: So as I mentioned in my comments we've got some good demand in our high power products, so we're expecting good growth sequentially in the quarter and then some modest growth in the JV. Actually our target for gross margin is similar to last quarter, so kind of staying level with that but getting good demand growth. And right now in the near term with what we've seen, backlog is in a good position as we started this quarter versus last quarter and the same period a year ago. So at least in the near term we're winning in those high power general lighting, video screen, and specialty lighting applications.
Daniel Baksht: Okay, great. Thanks and then on CapEx you previously mention you'd spent less year-over-year in 2019. Now that the 2018 CapEx is $190 million this year if I heard that right, does that statement about 2019 CapEx will stand? Thanks.
Mike McDevitt: Yes, and just think of it as the 190, the effort that we're undertaking that originally lined with the 220 is still the same effort. It is the at the timing of the cash outflow. So all the plans on what we're initiating in projects and that is still in line with plan, so FY19s targets that we kind of talked macro about at the Investor Day are still in place.
Operator: Our next question comes from the line of Craig Irwin with ROTH Capital Partners. Your line is now open.
Craig Irwin: Good Evening. Thanks for taking my questions. So Gregg, there is a fairly lively conversation out there among all the customers of your silicon carbide wafers. A lot of them have opinions about where wafer prices need to ahead to unlock the multi-billion dollar TAM that we're looking at where, investors are looking at to make Cree attractive over the next number years. Can you maybe share with us your thoughts on pricing strategy for wafers, whether or not you believe some of the more aggressive prices that your customers are hoping for whether you believe those are necessary and any other color that you think we should factor as far as, what else supports sustained gross margins on the wafer side over the next few years?
Gregg Lowe: Well, Craig we certainly are very much active in terms of driving the cost of our silicon carbide technology down over the time period and part of this combining our operations with the get better efficiency out of the manufacturing operations as well. In the early stages of looking at what those numbers might be, but we're obviously attacking that pretty vigorously. It's interesting right now, if you take a look at the cost of silicon versus silicon carbide and you’re kind of integrated with the efficiency gains that you get out of it, there is good reason why people are moving towards silicon carbide. If you add to that then and pretty good intensive cost programs that we're working on inside the business, I think it's just that that cost value analysis thing is just going to get a lot better. So, it's obviously something that we're working on. I'm not going to share any numbers right now. But we're not just standing still saying, wow this is a really great market and let's just say where we're at. We know that if we continue driving costs down that it will drive the demand for silicon carbide up and it will expand the SAM [ph] if you will for the use of silicon carbide and that's absolutely what the intention is. So lot of very hard work going on right now at a company that's focused on driving costs down.
Craig Irwin: Good to hear. So my followup question is on the license agreement with Nexperia, GaN on silicon, GaN on silicon carbide, it's really nice to see Cree pulling in other participants into this market, helping create additional customers. Can you maybe give us color on whether or not you'd expect to pull in other silicon carbide producers potentially. In the future, should we see similar licenses to other GaN power check producers, would you expect this to take similar momentum to what Cree achieved in the Lighting business maybe licensing some if its technology for fixtures and chips over the last many years?
Gregg Lowe: Well, I think Craig the approach that we've had on silicon carbide is really having a materials business that works with other folks out there. We inked the greater than $100 million deal with Infineon exactly for that purpose. So we are absolutely of that same mindset that there is a real opportunity for us to take, what I think is kind of a tipping point if you will in the silicon to silicon carbide movement and really expand that pretty substantially. So yes, we're absolutely doing that. I think the GaN licensing deal with Nexperia was sort of a separate thought process, but I think as it relates to silicon carbide, we're working with a lot of folks to try to make silicon carbide the technology of choice for the power electronics industry.
Craig Irwin: Great, thanks again for taking my questions.
Gregg Lowe: Thank you.
Operator: [Operator Instructions] Our next question comes from the line of Colin Rusch with Oppenheimer and company. Your line is now open.
Colin Rusch: Thanks so much and then sawing on that, just thinking about the long term customer interest and the product mix interest from the automotive customers, can you talk a little bit about how many of those were actually getting wafer supply and how many of them are looking at the devices that you guys are selling?
Gregg Lowe: I think it's a combination. As we've talked about the reason we're expanding the capacity for both our materials capacity, sales to third parties as well as the wafer fab and the ability to make power devices. For these reasons we're having discussions with automotive companies and Tier ones globally who are interested and we're having conversations with device makers who are having similar conversations and either source of supply. So what we're seeing the reason we're making the significant investments we are the reason you're seeing the business growth is because we're participating in both ways.
Colin Rusch: And can you talk a little bit about the lumpiness potentially of gross margins as you ramp capacity, how much strength do you expect as you bring some of the capacity up?
Gregg Lowe: You know, that's hard to model. What I would tell you, I've been through a lot of capacity ramps and there's always you know it seems like the crisis of the day and that is very normal. What I would tell you, I was very impressed with the Cree manufacturing and engineering operations. This past quarter we faced a couple of challenges. We were able to get a team together. We picked some and so forth. I think by and large that great teamwork and cooperation across the organization and will allow us to result most of these things going forward, but they'll be some issues going forward. I don't anticipate it anything big. I'm not trying to foreshadow anything big. I'm just saying it's very normal that as you're ramping capacity like we are that something is going to come up and we're going to have to put a team together and the good news is the team really did a great job of executing this past quarter.
Operator: And I'm showing no further questions in queue at this time. I’d like to turn the call back to Mr. Lowe for any closing remarks.
Gregg Lowe: Well, thanks everybody for your time today and your interest in Cree. We appreciate your interest and support and we look forward to reporting our fourth quarter results in August. Thank you.
Operator: Ladies and gentlemen, thank you for your participation in today's conference. This concludes the program and you may now disconnect. Everyone have a great day.